Operator: Good morning, and welcome to IPG Photonics Corporation Fourth Quarter 2025 Conference Call. Today's call is being recorded and webcast. At this time, I'd like to turn the call over to your host, Eugene Fedotoff, IPG Photonics Corporation Senior Director, Investor Relations, for introductions. Please go ahead with your conference. Thank you, and good morning, everyone. With me today is IPG Photonics Corporation CEO Mark Gitin, and Senior Vice President and CFO, Timothy P.V. Mammen. On today's call, Mark will provide a summary of our fourth quarter and full-year results as well as the overall demand environment, and then walk you through the progress we are making on our long-term strategy. After that, he will turn it over to Tim to provide financial details. Let me remind you that statements made on this call that discuss our expectations or prediction of the future are forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause the company's actual results to differ materially from those projected in such forward-looking statements. These risks and uncertainties are detailed in our Form 10-K for the period ended 12/31/2025 and our reports on file with the Securities and Exchange Commission. Any forward-looking statements made on this call are the company's expectations or predictions as of today, 02/12/2026 only, and the company assumes no obligation to publicly release any updates or revisions to any such statements. During this call, we will be referencing certain non-GAAP measures. For more information on how we define these non-GAAP measures, reconciliation to the most directly comparable GAAP measures as well as additional details on our reported results, please refer to the earnings press release, earnings call presentation, and the financial data workbook posted on our Investor Relations website. We will also post these prepared remarks on our website after this call. With that, I will now turn the call over to Mark.
Mark Gitin: Thanks, Eugene, and good morning, everybody. Fourth quarter revenue came in above our expectations, increasing 17% year over year and 9% sequentially. Revenue growth was driven by further stabilization in industrial demand, new opportunities, and a disciplined focus on our growth initiatives. This focus led to strong results in medical and advanced applications this quarter. Materials processing revenue was up 6% sequentially and 17% year over year, driven by stable general industrial demand and increased demand in battery and additive manufacturing applications. Sequentially, welding revenue was stable while demand for cutting applications increased. Cleaning was another strong performer, and we are starting to see increased revenue synergies with the Clean Laser acquisition. Medical sales had a solid finish to 2025, increasing sequentially and year over year as new products gained traction. We also saw strong sequential and year over year growth in semiconductor applications, which drove higher revenue in advanced applications. Turning to full-year results, revenue grew 3%, our first full-year revenue growth since 2021. Materials processing sales were flat with lower cutting sales being fully offset by growth in other materials processing applications including cleaning and additive manufacturing. Our welding revenue was flat as lower demand in the general and traditional automotive markets was offset by higher demand in battery manufacturing. In particular, we saw a strong increase in sales of our welding products in Asia as battery investments rebounded in China. Demand is shifting from electric vehicles to stationary storage, which is a positive shift for IPG Photonics Corporation as stationary storage batteries often require more sophisticated welding process. In addition, we are beginning to see increased demand for our solutions and process expertise in battery manufacturing for consumer and medical devices. In 2025, we made meaningful progress expanding our business beyond materials processing applications. The portion of our business outside of materials processing accounted for approximately 14% of our total revenue and contributed strongly to our growth this year with micromachining, medical, and advanced applications all increasing by double digits. Turning to medical, sales grew by 21% to a new record level in 2025 as we benefited from a new customer win that became a major contributor to our revenue growth. In the past year, we also received FDA clearance for our next-generation urology system with our proprietary StoneSense and advanced modulation technologies. These solutions enable the surgeon to differentiate between kidney stones and soft tissue, improving precision and control during procedures. We started shipping this product in the fourth quarter. Our solutions are delivering clinically meaningful outcomes, and we continue to make advances with our innovation roadmap, with additional new product introductions planned in 2026. We also see the opportunity to continue growing medical sales through share gain and new product innovation coupled with an ability to increase recurring revenue through the sales of consumable delivery fibers. In 2025, we took an important step forward in directed energy by rolling out our first complete standalone system for defense applications. We developed, tested, and introduced Crossbow, a scalable and cost-effective laser defense system that can neutralize the threat of smaller group one and group two drones. In support of this initiative, we have established IPG Defense to drive product development and customer engagement, and we have recently opened a new office and manufacturing facility in Huntsville, Alabama. Overall, 2025 was a positive year for IPG Photonics Corporation, affirming that our strategic approach is working. We are seeing sales growth increasingly driven by high-value applications where differentiation and technical capability are critical to addressing complex customer challenges. Looking ahead to 2026, strong bookings in Q4 resulted in book-to-bill firmly above one on strong revenue, signaling improving market conditions and strengthening customer demand. While we are encouraged by these trends, we remain cautiously optimistic as we recognize that macroeconomic uncertainty persists. We continue to make progress with our growth strategy, with notable improvements across medical, micromachining, and advanced applications, which have been key investment priorities for the company. We expect this momentum to continue into 2026. The progress that we are reporting today reflects disciplined execution, a sharper focus, and a stronger alignment with our growth priorities. Over the past two years, we have strategically positioned the company to capitalize on the growth opportunities we see before us. The organization is evolving towards a team-led operating model that aims to preserve our entrepreneurial spirit while instilling the discipline and operating rigor required to scale effectively. We have made tremendous progress streamlining operations, strengthening decision-making, and accelerating product development, and these efforts have translated into better performance and a greater consistency across the business. While there is still more work to be done, I am encouraged by our progress and confident in our ability to make further advances in pursuit of growth objectives. We view our growth opportunities across two primary categories. First, we are strengthening our position in core industrial applications. Second, we are penetrating new nonindustrial applications in markets where laser-based solutions offer clear cost benefits and superior outcomes relative to incumbent approaches. Together, these areas allow us to expand existing laser use cases, create new laser applications, and extend our reach into new high-growth applications such as medical, micromachining, and directed energy. These are exciting opportunities with great potential to significantly expand our addressable market and support long-term growth. Within industrial applications, we are growing through new business and accelerating the adoption of lasers in large markets, displacing incumbent technology. By combining our laser technology with deep applications expertise, we are helping customers address complex challenges where precision and efficiency matter most. This requires the innovation to offer superior and differentiated products as well as the commercial acumen to provide outstanding customer service. We are also moving up the value chain by integrating our fiber lasers into differentiated systems and subsystems. This world-class laser applications capability enables us to address our customers' most challenging problems and deepen our long-term partnerships by expanding the value we deliver beyond the laser itself. A good example of this approach is cleaning, where we have successfully converted applications from chemicals and abrasives to laser-based solutions. The Clean Laser acquisition, which completed its full year with us in 02/2025, has helped our growth in this area by providing safe, effective, and environmentally friendly solutions that are truly differentiated from incumbent technologies. Our integration of Clean Laser went very well with actual performance exceeding our expectations. We have also generated revenue synergies by leveraging our scale to reach large customers, and we continue to identify new opportunities for our comprehensive laser cleaning solutions. Beyond industrial solutions, we are building on the success we achieved in 2025 discussed earlier in the call. Growth in these areas requires differentiated capabilities and applications expertise to address customer challenges, leveraging our laser technology and deep materials knowledge to create solutions that deliver results with precision and accuracy. Innovation remains a core focus for IPG Photonics Corporation with continued emphasis on product performance, lowering cost of ownership, and delivering the service and application support that customers value. This strength is gaining increased recognition from both our customers and the broader photonics community. In that context, I am pleased to share that IPG Photonics Corporation received a prestigious Prism Award in the lasers category for our new 8-kilowatt single-mode laser at the awards ceremony held last month during the 2026 SPIE Photonics West exhibition in San Francisco. Often referred to as the Oscars of Photonics, the SPIE Prism Awards recognize innovative optics and photonics products that bring transformative technologies to market, with the winners selected by an international panel of academic, government, and industry experts. This honor further reinforces IPG Photonics Corporation's position as a global leader in fiber laser innovation and single-mode technology. Throughout the exhibition, thought leaders from IPG Photonics Corporation presented on multiple laser technologies and industry topics. One such presentation highlighted a major technological milestone in the ultraviolet spectrum with a successful demonstration of a compact 148-nanometer vacuum ultraviolet BUV laser source based on our proprietary crystal materials technology. This breakthrough has the potential to enable new opportunities in nuclear clocks, quantum computing, metrology, and other advanced applications. In summary, the team delivered solid performance in 2025, driving growth while meeting the needs of our customers. We have made significant progress on our strategic objectives and entered 2026 focused on continued growth through innovation and disciplined execution. With that, I will now turn the call over to Tim. Thank you, Mark, and good morning, everyone.
Timothy P.V. Mammen: My comments will generally follow the earnings call presentation which is available on our Investor Relations website. I will start with revenue trends by application on slide four. Revenue from materials processing increased 17% year over year in the quarter, driven by higher sales in welding, marking, cleaning, and additive manufacturing applications, partially offset by lower sales in micromachining, which was impacted by the timing of customer orders. Cutting revenue was slightly lower year over year but improved sequentially and was generally in line with the stable revenue we have seen over the last four quarters. Revenue from applications other than materials processing increased by 15%, driven by higher sales in medical and advanced applications. Sales of our emerging growth products increased sequentially and year over year and accounted for 54% of total sales on higher revenue in the quarter, up from 52% in the prior quarter and matching our record high achieved in the second quarter. Moving to the revenue performance by region on slide five. Sales in North America increased by 21% sequentially and 23% year over year, driven by higher revenue in cutting, cleaning, medical, and advanced applications. Sales in Europe increased 8% sequentially and 7% year over year, driven by higher revenue in additive manufacturing as well as cleaning, which saw strong growth resulting from the acquisition of Clean Laser. This growth was partially offset by decreased sales in cutting and welding applications. Revenue in Asia continued to improve and increased 5% sequentially and 19% year over year, driven by higher welding sales in China due to strong demand and new business in battery applications. Revenue in Japan was relatively stable year over year but improved sequentially. Moving to the financial performance review on slide six. Revenue was above our expectations at $274 million, up 9% sequentially and 17% on a year over year basis. Foreign currency increased revenue by approximately $6 million, or 2% this quarter compared to the same period in the prior year. We saw very strong customer order activity at the end of the year and were able to respond quickly and ship in the quarter to satisfy this increased demand. GAAP gross margin was 36.1%, and adjusted gross margin was 37.6%. Excluding accelerated depreciation on a long-lived asset and amortization expense, adjusted gross margin came in at the midpoint of our guidance range, but below what we would normally expect at this level of revenue primarily due to planned inventory management that drove lower absorption of fixed costs. You may recall that third quarter gross margin benefited from higher fixed-cost absorption as we increased inventory. The impact of tariffs remained a headwind, reducing gross margin by 200 basis points year over year, which was 50 basis points higher than our expectations due to the timing of recognizing tariff expenses. We continue to work on ways to offset their impact, including cost reductions and pricing initiatives. The tariff impact will likely persist in 2026 or be at a slightly moderated level. Year over year, the decrease in gross margin was driven by higher product costs and tariffs, partially offset by lower inventory provisions. Excluding approximately $4 million in one-time costs, operating expenses remained stable on a sequential basis but increased on a year over year basis due to investments we are making to support our strategy and strengthen our organization. GAAP operating income was $3 million, and our adjusted EBITDA was $41 million for the fourth quarter, above the top end of our guidance. GAAP net income was $13 million, or $0.31 per diluted share. Adjusted net income was $20 million, with earnings per diluted share of $0.46. Moving to a summary of our balance sheet and cash flow on slide seven. We ended the quarter with $839 million in cash, cash equivalents, and short-term investments, $77 million in long-term investments, and no debt. During the fourth quarter, we spent $18 million on capital expenditures and $4 million on repurchasing IPG Photonics Corporation shares, supporting our balanced capital allocation framework of investing in growth and returning cash to shareholders. As expected, our cash flow from operations improved significantly in the second half of the year, driving positive free cash flow in the fourth quarter. Our 2025 capital expenditures came in well below our initial expectations due to the timing of expenditures for our major fiber manufacturing facility investment in Germany, which moved approximately $50 million into 2026. As a result, we now expect CapEx to be $90 million to $100 million this year. Excluding the amount delayed into 2026, underlying CapEx is about 5% of revenue, and we expect to maintain this level going forward. While maintaining a strong balance sheet, we have continued returning capital to shareholders with our ongoing stock repurchases. We repurchased shares for a total of over $4 million in the fourth quarter and $53 million in 2025. We have returned over $1 billion to shareholders via share repurchases in the last four years. To enable us to continue with our balanced capital allocation strategy, the board has authorized a new $100 million share repurchase program, and we plan to continue repurchasing shares opportunistically. Moving to our outlook on slide eight. Orders remain strong with book-to-bill above one. However, it should be noted that some of the bookings we received in the fourth quarter include medical and systems orders that are scheduled to ship beyond the first quarter. For the first quarter of 2026, we expect revenue of $235 million to $265 million with some typical seasonality impacting revenue. We expect adjusted gross margin between 37% and 39%, including a potential impact from tariffs of about 150 basis points. We estimate operating expenses in the range of $90 million to $92 million in the first quarter and anticipate that these expenses will increase moderately during the year as we see opportunities to further accelerate our key growth initiatives. For the first quarter, we expect to deliver adjusted earnings per diluted share in the range of $0.10 to $0.40 with approximately 42.5 million diluted common shares outstanding. Our adjusted EBITDA is expected to be between $25 million and $40 million. In summary, we are pleased to report such strong sales in the fourth quarter. Although margin improvement deviated from the expected trend due to under-absorption of fixed costs and the impact of tariffs, product margin remained stable, and we continue to believe that we have significant operating leverage in our model. We continue to invest for the future, and our strong balance sheet positions us well to navigate a dynamic operating environment. I will now turn the call back over to Mark.
Mark Gitin: Thanks, Tim. In closing, we are pleased with the progress we made in 2025, encouraged by the early results of our strategic initiatives as well as the scale of the longer-term opportunity ahead. We remain confident in our ability to generate robust revenue growth with our differentiated solutions, which have continued to drive demand even in a subdued industrial environment. As general industrial activity recovers, this puts us in a good position to outgrow the market. Our market leadership, deep applications expertise, and ability to deliver complete solutions enable us to accelerate laser adoption, supplant incumbent technologies, and expand our addressable market. Growth initiatives in medical, micromachining, and defense are already showing meaningful progress in driving incremental growth. While we are cautiously optimistic about the demand environment in 2026, we are continuing to transform the company to create long-term value for our customers and shareholders. With that, we will be happy to take your questions. Thank you. At this time, we will be conducting a question-and-answer session. If you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to lift your handset before pressing the star keys. One moment please while we poll for questions. Our first question comes from Ruben Roy with Stifel. Your line is now live. Thank you. Hi, Mark and Tim. Mark, thanks, and nice to see, by the way, the return to growth on a full-year basis. So great to see the hard work paying off here. Mark, thanks for the overview on the strategic update, and your kind of comments just now on sort of how to think about, you know, longer how you are thinking about the strategy. I guess, first question, since we are entering a new fiscal year and I am looking at some of the segment detail, if we look at cutting, for instance, we are down below 20% of revenue now. And I am wondering, when you look at some of these sort of core markets, relative to your areas of investment, how are you thinking about where cutting is? Do you think that we are stable at the current level, or you think there could be some further downside there that might offset some of the new growth businesses? And I guess the point of the question, longer term is if we could start to think about, you know, targets for growth for the areas that you are investing in from a, I do not know, two, three-year perspective, you know, sort of how you are thinking about the TAM opportunity and longer-term growth?
Mark Gitin: Ruben, nice to hear from you. So let me start with your questions about cutting. So first of all, if you look at our revenue now for the last several quarters, cutting has been quite stable. Actually, it has been pointing up in the last quarter. We have core OEMs. Those core OEMs, their inventories have now stabilized, and they see the benefit that we bring not only in the laser. Remember that we brought out our RI integrated platform last year, higher power, smaller form factor, lower cost. That has really helped in that market as well. So we have seen that piece stabilize, and then that has allowed us to also see growth in the other parts of the industrial market, and so that is still pointing up for us. The industrial, we are continuing to invest in those core markets, cutting as well as, if you look at areas like additive manufacturing, welding, those are core markets for us as well that are growing. And then you asked about the other areas that we are making investments. We have talked about core investments in medical and micromachining, areas like directed energy. Those are addressing new TAM for us that is several billion dollars. And what we have said to date is that we expect to see growth in that area of hundreds of millions of dollars over the next several years.
Ruben Roy: Yes. That is helpful. And I guess if I could just follow up on that point. Mark, given the directed energy investment in the facility in Huntsville, has anything changed in terms of, I mean, you have gotten acceptance, and it is great to see the system solution Crossbow out there. How would you assess that opportunity from here? Are you getting more interest now that you are out in the marketplace? It sounds like you would be given the investment in Huntsville. But any update on sort of how you are thinking about that market, if that has changed your view on that market over the last, you know, few months. Thank you.
Mark Gitin: Absolutely. So thanks very much, Ruben. So let me just review for a moment that Crossbow is a product for us. It is a full system with all the pieces that can stand on its own, for both military and civilian type applications. You have seen the recent issues at airports especially. The system itself, again, we have been targeting the group one and group two, the smaller class drones. We brought the product out in the fall. So this was released first at the DSEI show in London and then followed on at the AUSA show in Washington, DC. And actually, we had it at the Singapore Airshow just about a week or so ago. We have had very, very good customer interest in that area because of the key differentiation that we bring. Again, this is based upon our single-mode, high-power lasers that we make in volume for industrial applications, along with the surrounding photonics components that we make in volume and systems. So we can really do this at scale. So this offers the customer really disruptive cost, volume, quality, and, you know, it is a commercial product with a part number. So this is getting very good interest, and we are, you know, we have great customer lists now, and we are working to convert that interest into orders.
Ruben Roy: That is great. Thank you. Just a quick follow-up. Thanks for that, Mark. Quick follow-up for Tim then to finish off here. Tim, on the margin commentary, and I get the leverage, excited about the leverage, but you have got the tariff impact. It sounds like that is going to persist through the year. Is there a way to think about sort of revenue levels that would be required to absorb the fixed cost to get back to the sort of longer-term targets on the margin side? So let us say, lower end of that target, 45%?
Timothy P.V. Mammen: Yeah. I think I would, I will let, on this Q4 results, right, we called out that the under-absorption really impacted gross margin by 150 basis points. So if you take the 37.5% that we reported, you add back the 150 to 200 basis points, you are actually close to 40% at that point on $270-odd million of revenue. That is with the 200 basis-point tariff headwind overall. Our guidance estimates that the tariff headwind will be more moderate in Q1 at about 150 basis points, so more in line with what we had in Q2 or Q3. And so, revenue improving beyond this level should continue to drive improvement in that absorption and get gross margins above the 40% level. It is clearly a target that we have got out there and want to do that. We are also looking at how to optimize operations even at more moderate revenue levels. Right? There is a little bit of a task that that takes, but we want to really drive some more operating efficiency even below $300 million during the course of this year, and I hope we will report progress on that. I think the other benefits that are still not coming through fully are that we have got product cost reductions still ongoing. So Mark mentioned the RI, the rack unit, the rack unit for the cutting market. We are going to start rolling out the higher-power diodes across a much broader swath of the product line, and that should help with the cost reduction initiatives on the products and drive improved product gross margin. There are other cost reduction initiatives as well around the BOM that we are working on too. And then you have got some, you know, pricing initiatives too where you are trying to offset some of the tariff impacts. So, overall, I think we are making good progress even though gross margin was a little bit light for the revenue level we reported in Q4. But we are pretty confident about the direction that we can take at the moment on this.
Ruben Roy: Right.
Ruben Roy: Very helpful. Thank you.
Operator: Our next question comes from James Ricchiuti with Needham & Company. Your line is now live. Hi, thank you. So good morning. Just given the early traction with Crossbow, I am wondering any plans to step up investment in directed energy applications, particularly with the facility that you have now, or possibly extend the Crossbow product offering?
Mark Gitin: Hey, Jim. Thanks for the question. So what I can tell you is that what we have launched to date is what we call the Crossbow Mini. So that is a 3-kilowatt-based system for, you know, kind of the shorter range. Again, this is for group one and group two drones. We do have a roadmap that will increase the power level of that. We have talked about 6- to 8-kilowatt kind of product also on our roadmap. We are not heading towards the, you know, megawatt-type systems. We are not doing government contracting. This is really about a commercial product that we can deliver in volume, really targeting the smaller class drones. We are excited about it.
James Ricchiuti: Got it. And, Mark, maybe sticking with the new product focus, what are your expectations around the new medical product in 2026?
Mark Gitin: Yeah. No. Thanks for that question. So just to review medical, you know, we have developed a new roadmap for that. It is one of the key areas that we are investing in. We talked about the product that we got FDA clearance on in Q3 and then launched in Q4. So this was a new product in urology that has what we call StoneSense as part of it, so we can tell the difference between stone and soft tissue. That was the first of the roadmap. And I just want to remind you also that we also in the last year picked up a new major customer. So that combination, expect to give us growth into 2026. And I will say also that in 2026 we will be launching additional products in that roadmap. And that roadmap continues on for the next couple of years. And what we have said is that over the next year we expect the business to double or triple.
James Ricchiuti: And just one quick final question for me. You sound like you are encouraged by what you are seeing with Clean Laser. I am just wondering if there is a maybe a greater appetite on pursuing other inorganic opportunities and, just given the strength of the balance sheet, and if so, maybe what areas might be of interest?
Mark Gitin: Yeah. No. Happy to talk about that, Jim. So, you know, first, let me just talk about it in terms of capital allocation. So as I look at capital allocation, first and foremost for us is investing in our organic growth, as we have a fantastic set of roadmaps and technologies that we are pursuing there. And next, from an M&A standpoint, it is really around tuck-in acquisitions, and Clean Laser was a great example, where we can augment adjacent markets and get to some areas faster. And Clean Laser, just to dig into that for a moment, that has gone really well for the company, and it is integrated very well, and we have very good combined roadmaps going forward, and it did better than our targets initially. So, again, just to say the areas that we are looking at—and we are actively looking at M&A opportunities—again, in the tuck-in size, we have talked about it as being in the revenue range of $50 million to $200 million in revenue, and again, areas that can really allow us to accelerate in some of the markets we are going after, technologies, those areas. So really, that kind of tuck-in type.
James Ricchiuti: Got it. Thank you, and congratulations on the quarter.
Timothy P.V. Mammen: Thanks.
Operator: One moment please while we poll for questions. Our next question comes from Scott Graham with Seaport Research Partners. Your line is now live. Hey, good morning and congratulations on the quarter and outlook. I wanted to maybe understand welding, the improvements in welding sales a little bit more. You mentioned battery, and I am just wondering, is that all storage, or is there some EV in there as well? And then what other drivers did welding benefit from this quarter?
Mark Gitin: Yes. Thanks very much, Scott. So, yeah, welding has been an important area for us, and, you know, batteries you pointed out are drivers for that area. EV is one of them, and just from a driver standpoint, electric vehicles have seen 20% year-over-year growth, and also then stationary storage, as you mentioned, is an accelerating area as well. That has seen growth of about 50% year over year. So those are the base drivers. We have very differentiated technology that applies to the whole area of batteries. We have specialized lasers plus the monitoring of the beam and the weld monitoring that is in situ combined with beam delivery and the process. So it is very important to that battery area, and it is important both in EV, the higher end of EV, and stationary storage. It especially becomes important as you have higher currents and thicker busbars. Our technology is even more important there. And I should say battery for us goes beyond those as well. We also have important areas in consumer batteries as well as specialized areas like medical batteries. And it encompasses the areas that I told you, including areas like foil cutting and specialized welding, cleaning. All of those are key areas for us that apply to the battery process.
Scott Graham: Great. Thanks a lot for that. And then the other question was simply around Huntsville. Could you kind of tell us a little bit more about that? Will it only be for, you know, the directed energy, or is there an opportunity to add some other product manufacturing there?
Mark Gitin: Yeah. Thanks, Scott. So just to point out, it is a small site in Huntsville. Huntsville is a very important area for a couple of reasons. One, because of the personnel available in that area, but also it is an area that has cleared airspace, so we can do the testing there. So that is an important piece of that. First and foremost, it is around the R&D and small-scale production for the directed energy, but it also gives us a footprint in that region to apply some of our industrial technologies to that growing region as well, as Huntsville area is a growing area for industrial for some of the military and defense arena.
Operator: Thank you. Our next question comes from Rodney McMullen with Northcoast Research. Your line is now live.
Rodney McMullen: Hey, guys. Thanks for taking the question. I am on today for Keith Housum. I was just wondering if you could maybe provide some updates on the competitive environment, especially in Asia. I am wondering if you are seeing any pricing pressures start to seep out of cutting and into more advanced applications? Thanks.
Mark Gitin: Yeah. Thanks for the question. So in Asia, really in China, cutting is a very small part of our business. It is in a couple-percent kind of range. The biggest areas that we are operating in that area are areas where we are highly differentiated. So, you know, we have talked about the battery area, additive manufacturing, some of the micromachining areas. So those are areas where we have key differentiation, and so our pricing is able to hold up in those areas.
Rodney McMullen: Understood. And then just a quick follow-up to Scott's question. As you are seeing a shift more from EVs to stationary storage, is that margin accretive? I mean, do you guys see higher volumes of those devices just because, you know, these storage devices are larger? Just any color you could provide there would be great. Thanks.
Mark Gitin: Yeah. So the way I would look at it is we are applying our technology across that area. The battery factories are making batteries for EV and for stationary storage. The stationary storage ones tend to be on the higher end because capacities are higher, currents are higher. But they are similar to the higher end of EVs. Our technology is applied really across that area. And again, it is that differentiation that we provide with the combination of the very specific laser beam type plus the monitoring of actually being able to see in situ if the weld is good or not combined with the beam delivery and the process as well. That provides something that is highly differentiated. And it is important because it means that they can see quality control. They can tell whether you are over-penetrated or under-penetrated in the welds, and that has to do with quality, reliability, as well as safety. So all of those pieces point to how we have a key place in that area, and as you mentioned, that higher end, it is even more important because the higher currents have thicker bus bars in the batteries, and that is true in the stationary storage as well as the higher end of EV. And that is an even bigger driver towards our solutions.
Rodney McMullen: Got it. Understood. I will turn it back. Thanks, guys.
Operator: Our next question comes from James Ricchiuti with Needham & Company. Your line is now live.
James Ricchiuti: Tim, I was wondering if you can give us any additional color on the bookings that you saw by region. Any variability? It sounds like the overall order activity was pretty healthy.
Timothy P.V. Mammen: Yeah. It was pretty broad-based. I mean, having come in with kind of a number you would expect it to be. North America was very good on the back of medical and systems orders, so it was really good to see that pick up on the system side. Europe actually performed a bit better. I would say it is still a little bit of a weaker region, but we actually had a very good set of orders there. There were also some good systems orders, particularly on the cleaning division with Clean Laser. There was actually a big order that came in from a major customer that we may not have won had Clean Laser not been part of IPG Photonics Corporation. So that was a very important part of some of the synergies that are being realized out of that acquisition. And then Asia was strong—Japan, China, Korea had a good quarter. So it was pretty broad-based, Jim. I would say Europe is just a little bit, it is starting to show some improvement, but it is a little bit weaker than some of the other areas still. I think that is reflected even in the PMI data where it has improved but is still a little bit behind North America, China, and Japan.
James Ricchiuti: Got it. And, Mark, you mentioned, at least in the presentation, you highlighted demand related to semiconductor. Remind us of your exposure there. How are you thinking about the growth there in 2026 just given the investment that we are hearing about across the semiconductor sector.
Mark Gitin: Yeah, thanks, Jim. So the places that we play there, it is really in the lithography, metrology, and inspection part of the segment. And we have new products that we have been developing that are now aligning well with roadmaps in those areas, and we have really focused on improving not only performance but quality in that area. And that has really helped with our engagements there. It is a relatively small area for us today, but it is an area where we have very good engagements. And it really shows the differentiation that we have in these core technologies across the company that allow us to insert in those roadmaps. Because as you know, those roadmaps, you need the combination of very, very good and high-performance technology at the front edge, but you also have to have the quality and the ability to produce these things in volume where every unit has to be the same. So it is a very good mark for us to see that growing.
Operator: Thank you. As a reminder, if you would like to ask a question, please press 1 on your telephone keypad. One moment please while we poll for questions. Our next question comes from Scott Graham with Seaport Research Partners. Please proceed with your question. Yes, hi. Thanks for taking my follow-up here. I was wondering, you talk freely about micromachining and additive manufacturing. Can you just maybe remind us what is in those areas, what the applications or the end markets are, or both, to just provide a little more clarity there? Thank you.
Mark Gitin: Sure. Let me start with additive, Scott. Additive manufacturing, just to remind you, that is sintering of powdered metal. So the laser actually creates, where a printer would create a dot or a line, here you create what is called a voxel. So it is a volume element that is created, and then you build up the part. And so that is important for a number of reasons. You can actually produce things that cannot be machined with traditional methods. So that is important. And some of the materials are also important. And I have to say that this is an area where we are highly differentiated. We have a key piece of that market because the lasers have to be single-mode, they have to have very high performance, and they have to have low noise, and they have to have very high reliability. And these are all pieces that are important there. And we work together with these companies on the roadmaps, and we have key next-generation products that also allow them to go significantly faster. And so from a market side, these are actually covering now, it is an area that has been growing, and it is covering areas that go from aerospace all the way to consumer-type devices where they are able to make parts, again, that would be very hard to machine. And they are making parts in a wide range of materials from titanium to things like copper. So our lasers play across each of those. And again, the market drivers are relatively broad, and we have seen that area growing, and we have had good growth in that area throughout 2025, and again, indicators are good now. And then you asked about micromachining. When we talk about micromachining, that is really talking about very precision cutting, drilling, material removal. That plays a lot into areas like microelectronics where being able to make small changes in the materials are important, in displays, in things like multilayer circuits being able to interconnect from layer to layer. These are areas that are important—areas like solar cells where you need to make interconnection from layer to layer or machine away small windows that improve the performance of the cells. So think about, you know, very small, on the micron level, holes or ablation removal, cutting, very micro welding. Those are all areas that we would classify in the range of micromachining.
Scott Graham: Thanks very much.
Operator: We have reached the end of the question and answer session. At this time, I would like to turn the call back over to Eugene Fedotoff for closing comments.
Eugene Fedotoff: Thank you for joining us this morning and your continued interest in IPG Photonics Corporation. We will be participating in several investor events this quarter and are looking forward to speaking with you again soon. Have a great day, everyone.
Operator: This concludes today's conference.
Operator: You may disconnect your lines at this time, and we thank you for your participation.